Operator: All participants please standby, your conference is ready to begin. Good morning, ladies and gentlemen, welcome to the CGI Second Quarter 2016 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President, Global Communications and Investor Relations. Please go ahead, Mr. Gorber.
Lorne Gorber: Thank you Melanie, and good morning. With me to discuss CGI's second quarter fiscal 2016 results, are Michael Roach, our President and CEO; and François Boulanger, Executive Vice President and CFO. This call is being broadcast live at cgi.com and recorded live at 9:00 AM, Wednesday, April 27, 2016. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our Q2 MD&A, financial statements and the company notes all of which are being filed with both SEDAR and EDGAR. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete Safe Harbor statement is available in both or MD&A and press release, as well as on CGI.com. We encourage our investors to read it in its entirety. We are reporting our results in accordance with International Financial Reporting Standards or IFRS. As before, we will also discuss non-GAAP performance measures which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian unless otherwise noted. Before turning it over to François who'd like to review our results, I would like to thank those of you who came out to the Investor Day in Toronto last month, and to those of you who joined us on the webcast. We hope you found the day to be informative and useful. For everyone else, the full archive is available on cgi.com/investors. With that François will review our Q2 financial performance, and then Mike will comment on the strategic and operations highlights before taking your questions. Over to you, François.
François Boulanger: Thank you, Lorne and good morning everyone. I'm pleased to show our results for Q2 fiscal 2016. Revenue was $2.8 billion, up $149 million compared with the same period last year and representing growth of 5.7%. Foreign exchange fluctuations favourably impacted revenue by $174 million resulting in constant currency growth of minus 1%. For better year-over-year comparison, growth at constant currency was minus 0.7% when excluding the wind down of some low margin business in Spain and South America. This is a significant improvement from minus 3.5% in the year ago period. In addition, sequentially, revenue at constant currency grew by 1% demonstrating the ongoing momentum towards positive organic growth. We booked $2.7 billion in new contracts during the second quarter, nearly half of which is new business bringing goalable bookings for the last 12-months to $11 billion, or 104% of revenue. Adjusted EBIT was $391 million, up $28 million while our EBIT margin increased by 20 basis points, 14.2%. This reflects an improved revenue mix, the ongoing benefits from the restructuring program completed in Q1, and expanding use of our global delivery centres. For the quarter, our tax rate was 23% when including a $14 million one-time favourable tax adjustment. On a comparable basis, our tax rate was 27%, an increase from 26% in Q2 last year reflecting higher profitability in the U.S. and India, and negatively impacted EPS by $0.02. We continue to expect our normalized tax rate to be in the 26% to 28% range for a full fiscal year. In earnings were $283 million, up to 12.6% for a margin of 10.3% while EPS of $0.90 compared with $0.78 last year is an improvement of 15.4%. EPS was $0.86 cents excluding the tax benefits I just described representing an increase of 10% over last year. Turning to cash, our operations generated $251 million in the second quarter. This figure includes $20 million in cash disbursements related to the restructuring. Cash from operations for the last 12-months is $1.2 billion or 12% of revenue. We ended the quarter with a DSO of 41 days, the same as last year and below our 45 day target. Long-term debt at the end of March was $2.1 billion, a reduction of $111 million quarter-over-quarter. We invested $509 million in Q2 to repurchase 9.1 million shares at an average price of $55.73. Under our current NCIB an additional 14.3 million shares can be purchased before February 2017. As a result, net debt at the end of March stood at $1.9 billion, up by $353 million sequentially, as we repurchased shares and completed an acquisition in France. Net debt-to-capitalization was 23.8%, down from 24.4% in Q2 2015, and well within our target zone. By maintaining this balance sheet strength, we have the flexibility to continue decreasing our sales and buy profitable growth strategy. Now I'll turn the call over to Mike.
Michael Roach: Thank you, François and good morning everyone. Our second quarter results were strong, balanced, and continue to track to our 2016 business plan. Revenue was essentially flat on a constant currency basis and continues to improve steadily towards positive growth. In fact several operating segments again delivered year-over-year revenue growth and the remaining segments are showing steady progress towards this goal. As outlined at our recent Investor Day, we are experiencing growing customer demand for services and solutions. In line with this demand, our strategy is focused on helping clients reduce their run or operating costs while also helping them to become digital organizations. Our ongoing investments on high-end consulting, our IP30 solutions portfolio, as well as transformational outsourcing are all aligned to this customer demand imperative. Now we'll briefly walk through our operating entities. In France, our operating continues to show strength across all indicators with revenue up 5.7% representing the second consecutive quarter of constant currency growth. EBIT margins were strong at 11.5%, further demonstrating the ability of our team to expand both top and bottom-line. The acquisition of LCN combined with the growing backlog of new wins, long-term extensions, and a book-to-bill above one will contribute to additional growth in the back-end of the year. Our new centre of excellence, dedicated to digital transformation brings together best practices in security, Big Data, digital customer experience and mobility, further positioning us as a market leader in France. In the UK, revenue is up 5.3% as past bookings begin to convert to revenue growth. EBIT margin was 12% up 70 basis points. With a book-to-bill over 120% both in the quarter and over the last 12-months our UK operation is well positioned for continued operation growth. For example, in the quarter, we were awarded a 13-year digital transformation contract by the Scottish Borders Council. This is the first add-on contract awarded under the Edinburgh Digital Framework. To-date we have booked over $500 million and have the opportunity to enter into similar agreements with the remaining 19 Scottish municipalities. We expect the revenue to begin ramping up in the back half of the year. We also continue to experience strong demand in the financial services, where we have booked new business with key clients again helping them build their digital transformation roadmaps, including selecting new platforms for growth. Similarly, we're seeing growth for payments across industries, as the need for faster processing continues. Across the Asia-Pacific, revenue was up 11.6%, EBIT margins were 18.6% up 260 basis points. Book-to-bill was 142%. The strength in this segment is in line with our strategy to solidify our competitive position, while improving productivity and associated margin expansion through the use of our global delivery centres. This accelerated growth can have an impact on our operations reporting revenue but remains a significant growth lever for the corporation as a whole. In Canada, for example, revenue grew 1%, when including the increased Canadian volume of work, sold in Canada but delivered from our offshore centres. EBIT margin was up 21.4% up 140 basis points. Book-to-bill was 107% and 109% over the last 12-months. We continue to experience significant demand and related growth in the banking sector, and in western Canada. Aligned with our IP30 strategy, we have seen growth in our IP business, specifically our collections 360 platform. For example, a top financial institution has awarded us a $100 million agreement to be their collections partner on a staff basis over the next ten years. Our pipeline continues to strengthen, including a noticeable increase in transformational opportunities both with new and existing clients. In the U.S. revenue grew 4% when excluding our defense business, which remains under industry wide pressure. In this area we're experiencing delays in recompletes and task orders, which are pushing both the bookings and the project starts to the right. We currently have $1.2 billion in submitted proposals awaiting award. Of which more than half is related to the defense sector. EBIT margins were strong at 16.3% up 80 basis points. On a trailing 12-month basis our book-to-bill continues to strengthen across all segments; federal, state, and local, as well as commercial. Our commercial pipeline is up more than 50% as we experience increased customer demand, again primarily in the financial services. Across the Nordics, revenue was down 5.3%, EBIT margin was 10.6%, and book-to-bill was 121% in the quarter and 105% over the last 12-months. As the benefits relating to the restructuring program continue to materialize, we expect profitability to gradually improve in the second half as new bookings convert into higher quality revenue. Short-term macroeconomic pressures in Finland and Norway have impacted the results in the quarter. However, with ongoing momentum in Sweden, our largest Nordic business unit, we continue to anticipate a gradual improvement in the second half of the year. For example, clients like the Swedish social insurance agency selected CGI as their digital transformational partner. The funnel of opportunities in the Nordics remains healthy, particularly in Sweden, where we are the market leader. In Eastern, Central and Southern Europe, revenue was down 4.7% on a comparable basis, excluding the winding down of certain operations in South America and Spain. Our German operations, the largest market in this segment, has now posted a second quarter of year-over-year growth supported by strong bookings and a healthy pipeline of opportunities. EBIT margin for the SBU was 9.4%. Book-to-bill was approximately 90% for the quarter and over the last 12-months. Like elsewhere, we're seeing opportunities in payment and the financial services space. In Germany we recently entered into a partnership to implement an integrated payment platform to accelerate digital transformation for a leading media provider. In the Netherlands, we continue to work with oil and gas clients to adjust their cost space to fluctuating oil prices. As such, a significant half of the work moved offshore in first half of the year. On the other hand, the Dutch team continues to gain market share in key growth sectors. Transformation, where we're seeing double digit growth and energy, where we're recognized as the leader in sustainable solutions, having delivered 11 of 17 central market systems worldwide. In summary, our comprehensive portfolio of services and solutions is directly aligned with demand for our clients to become digital organizations. Our IP30 initiative remains on track with momentum across all sectors and geographies. And, as we return to positive organic growth, we also remain committed to double digit EPS expansion for the full fiscal year. Thank you for continued interest and support, and now let's go to the questions. Just a quick reminder, that a replay of the call will be available either by our website or by dialling 1-800-408-3053 and using the pass code 5515794 until May 28. A podcast for the call will also be available download within a few hours and as usual follow-up questions can be directed to me, 514-841-3355. Melanie, if we could poll for questions please.
Operator: [Operator Instructions] The first question is from Daniel Chen of PD Securities. Please go ahead.
Daniel Chen: Hi, thanks. Do your book-to-bill weakness in the U.S. is that driven all by the defence sector and if so when do you expect that to improve and expect the U.S. to grow this year?
Michael Roach: The U.S. as I mentioned, is growing in the defence sector and as I mentioned on the call there, excluding that segment we're growing 4%. It's an industry wide problem. I think if you look at our pure play peers that are in the defence sector, there is a lot of things moving to the right. I think it is an optimistic sign that we have a lot of opportunities in there awaiting award. We can't really determine when decisions are going to be made on that but clearly the book-to-bill is impacted by that segment. Excluding that we are at 100 or above in commercial, state and local.
Daniel Chen: Thanks. And as a follow-up, the costs continue to rise with higher revenue, EBIT margins continue to stay in the low 14% range do you anticipate to stay here or do you think you can move to hire from here?
Michael Roach : When you mentioned EBIT margins low at 14, there'd be a lot of companies would like to hit that as a low in our industry, what's happening there, and again you have to watch quarter-by-quarter. As we pursue more deals, obviously the cost of sales, there's a lag between due diligence on an outsourcing project versus a revenue stream. So you will get some short term misalignments between expenses and revenue coming on-stream. It's all part of returning to organic growth. We're not seeing anything structurally in the business that's impacting our margins here. Our margins are still very strong and again I remind folks when you pull out the intangibles, especially in our European peers, they're all about 10% at the peer operation level. And if you look at North America, Canada was over 21% and the U.S. was over 16%. Those are world class margins in our business and again really reflecting our push on IP30, the mix of our work, outsourcing deals, high end consulting, the digital strategy work this is all exactly in our sweet spot aligned with customer demand.
Daniel Chen: Great. Thank you.
Michael Roach: Thanks, Dan.
Operator: Thank you. The following question is from Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber: Oh, thanks very much. I just wanted to follow up on the investment ahead of new potential revenue markets. It seems like from our tracking, hiring is picking up in Europe and the U.S. How do you weigh the cost of having new hires sitting on the bench instead of adding capacity ahead of potential new revenue streams?
Michael Roach: It's a business call. Clearly you need to hire people to the customer demand, the digital space, agile development, these types of things. You need to secure those people. We need some time also to educate them on our operating model, our management frameworks, how do we do these types of things. There's a bit of a lag there and it's one of the reasons you can't really look at some of this quarter-by-quarter. Especially when you're looking at the systems integration consulting business because it ramps up at the pace the customer can push over the requirements. We're not carrying high benches, especially in North America. If you look at those margins both utilization rates in Canada and the United States are very strong. In Europe, what you're seeing there, the hiring is linked to the growth. You can see our two big geographies over there are both growing organically and are ramping up. If you look at for example the book-to-bill within the United Kingdom at 120% and revenue streams coming on at the back end of the year, you do need to hire. It's a very positive sign, Paul, and again nothing out of the ordinary here other than, as I say, as we ramp up you're going to see a bit of a lag between the expenses and the revenue coming on.
Paul Treiber: As it regards to Easter, Easter's selling to March this year, whereas last year was in the June quarter does that have any notable impact on margins or organic growth in your calculations?
Michael Roach : Yes. Depending on the country and the mix of the work there, it'd probably impact from anywhere to one to two days. Which would hit the top line and it would hit the bottom line. That has now shifted to the quarter we're now in; we expect to get some lift from that in the third quarter. That is the difference. For us it's probably a bigger difference than it would have been pre-Logical because the mix of our work now we have a lot that's SINC type work or time material work. When you have holidays like that you're not able to work or bill.
Paul Treiber: Okay, thank you. I'll pass the line.
Michael Roach: Thanks, Paul.
Operator: Thank you. The call in question is from Steven Li of Raymond James. Please go ahead.
Steven Li: Thanks. Mike, you know when you highlighted the non-renewal of some contracts in the U.S. defense market, were these just delayed or were they lost to competitors?
Michael Roach: No, what I'm talking about here is deals that we've submitted answering [25:26] RP's the procurement groups are sitting on, at least not just in the case of CGI, it's market wide. We're just waiting on them to make a call and as they do this should help us on book-to-bill and also on the revenue side. That's what I was referring to Steve.
Steven Li: And can you qualify the intake of these non-renewals on the U.S. core?
Michael Roach : What I've done is just pulled out the U.S. defence sector in the U.S. so what you read from that is the commercial is growing, state and local, and the civilian side of our federal government business is growing. The defence side is having -- it's kind of the last piece of the federal business turn up. Fortunately for us, we've got a good balance between the civilian and defense. I think by last count about half the revenue or less was in the defense side and the other half in the civilian side. It's the last piece coming out of there; the bookings are growing stronger there. We continue to deliver good margins, good cash, we just have to be a little more patient there. What's significant if you look again at the U.S., excluding that we're growing at 4% in constant currency, organic growth. The margins are extremely strong.
Steven Li: Are they going to?
Michael Roach : They're strong to the point as Francois called out we're paying more taxes as a result of the good work of the U.S. team.
Steven Li: Right. And maybe allowed one last phone call, I might have missed it but how much was restructuring disbursements in the quarter and how much is expected next quarter? Thanks.
Michael Roach: $20 million in the quarter we disbursed and we're pretty close to the end of all the disbursements. It started June 4th of last year and since it was mostly severances it was paid in the next month.
Steven Li: Thank you.
Lorne Gorber: Thanks, Steve.
Operator: The following question is Jason Kupferberg of Jefferies. Please go ahead.
Unidentified Analyst: Hi guys, this is Alan Singh [ph] for Jason. Just quickly on the top line trend if you look at your constant currencies and it is definitely improving, just tying it to some of your past comments, should we still expect the revenue to turn positive in the second half, maybe third quarter or fourth quarter?
Michael Roach : I've been pretty explicit that our plan was to gradually move positive growth in the back half of 2016 and we're on the path to do that. The second thing we have as a goal there, as I mentioned before, is not to have the machine snap back and load up revenue that's not aligned with what the customers value the most and is not on our strategy and is heavily capital intensive. We're on track there when you go apples to apples; we're 0.7 than last year-to-year, and on a company this big that's essentially flat. We've got a good platform. Now what happens here is you have a lot of things going on in a company this big you could have a pop-up one quarter. We're going to take some time over the quarter to get more consistency here across the operating entities. As you can see, in France, now they've had two quarters and I think its four quarters out of six where they've shown organic growth, the UK is on a good path. We're heading in the right direction. Canada as well, we've got a good funnel there working on a lot of deals and our banking business is red hot, oil and gas in the west. We got a lot of good things going and we like where we're positioned for the back half of the year.
Unidentified Analyst: Perfect, thanks. And just talking about the MNA, during the analysis they talked about you have identified 384 niche and 63 transformational acquisition targets. Anything out there that is preventing you right now from executing on any of them in the very near-term?
Michael Roach: Well, as I said many times, what's preventing us is three or four things. One is that we need to sure the companies that we have in that pipeline are aligned to our strategy which is aligned to the customer strategy. We have to look at valuations, because we are very diligent here in terms of investing money, it has to have an accretive benefit. And you have to have a willing seller. And you have to do good due diligence. As I mentioned before, we've had a number of cases where we've done the due diligence and found things we didn't like and walked away. As you're always trying to balance here and you know that, we don't buy in things or invest in things for the short term gain we do it for the long term. There are opportunities out there, we continue to qualify the pipeline and where appropriate, we move forward to due diligence. We don't have anything to report today but we'll keep you posted as we go through that funnel. Still a very key part of our strategy though, it's linked to the organic growth in a sense that it's an accelerator to the organic growth and as you saw on the Investor Day, three examples. In some areas it allows us to enter another portion of a customer if it's a bank, if we're ever on the retail side, or accelerate penetration across a group of customers or technology, as you saw in the case of France. We like the opportunities there, we have the operation, we're very committed to it, we have the capability to integrate these folks and the financial ability to pull the trigger. It's got to be the right target, the right price, and the right time.
Unidentified Analyst: Alright, perfect. Thank you very much.
Michael Roach: Thanks Jason.
Operator: Thank you. The following question is from Paul Steep of Scotia Capital. Please go ahead.
Paul Steep: Great, thanks. Mike, maybe you could talk a little about the amount of work you're moving to offshore centres like you called that out to Nordic and Canada. Maybe talk a little about the process and how disruptive or not it might be the margins of that period and the volume you think you might still move offshore?
Michael Roach: That's a good question, Paul and it gives a good chance to clarify what I was trying to explain. If you're looking at how we're doing offshore, like where we do an acquisition like Logica, as I mentioned we do the same thing in AMS. We go in and look at work we're doing for ourselves essentially and IP is a prime example. What we do is go in and look at IP, and where we're doing development or maintenance of our own IP, we shift that work offshore. Of course the logic there is that the people working in country on that IP, we can now put them billable. If you look at it from a business standpoint and a member standpoint they become billable. They have a lot of expertise and expertise in this IP. They become bill which helps on the cost of growth side. The development and the maintenance goes down significantly, which brings down our cash draw. It brings up the margins in this geography where the work has been done. If you look at that as an example that is going on and is more pronounced in the Nordic countries where they have a lot of rich, deep IP and also in central Eastern Europe. That's one block of the work and you see that in the margins for example of Sweden, where our strength as that type of lever in those operating territories is pulled. The second thing is we're using more in India, our global delivery more appropriately, where our opportunity and dealing with the customer is frankly rebalancing the work. Even though we see our portion of global delivery growing, what's behind that is a more integrated delivery solution to the customer that has the hopeful component which is a huge competitive advantage to us, client proximity, and then having the work be done. For example for a customer in the Nordics, we're doing some work there because of the European regulation, doing some in Poland, because it stays in the Euro zone. Then we may be doing some work in the Philippines or in India. As I mentioned in my comments it can dampen down in the short run when you look at some of the segments. In Canada, when you look at what the Canadian operation sold in those types of deals the revenue on an apples to apples basis goes up organically. But then when you pull out of that, part of that revenue is being delivered out of India but owned by Canada, always owned by the local business unit and the local SBU. How much of it we're going to do? I would say clearly the internal side we're quite far along but still have more opportunity there. That is part of the plan to create earnings and really capture that value creation model I described. On the external part with customers we're really going to see it in those types of deals. We're also seeing the outsourcing of managed resources ramping up and there will be a significant component of our global delivery services and management deal. It's just by the nature of those deals; it's been going on for years. We are seeing a ramp up in outsourcing as customers are trying to take down their run down costs. A fresh access towards human capital that understands the digital organizations and of course as we said on Investor Day we're going to travel to both sides of that. We know the current foundations systems and we know how to design, implement and operate in that environment so we think we're well positioned to be the partners of choice to help customers on that journey.
Paul Steep: Great, just quick follow-up. Could you call out what the trend was for IP solutions as well? In the quarter I know you called out collections 360 but just where you've seen that growth and what you're trending to at this point, thank you.
Michael Roach: Again, quarter-to-quarter if I don't that's not necessarily a meaningful thing Paul. Suffice it to say we're continuing to grow that business and called out that opportunity in Canada. That's the third financial institution that has gone on to that IP collection side. It's a long term 10 year deal with significant benefits for the customer being on a SAS model. Also it's very important to us from a profitable growth strategy. We probably will give that number on an annual basis. Suffice it to say as we said on Investor Day we're moving up. Not up to IP30 yet but I hadn't intended to be at IP30 at this point. You will see more deals that have an IP component that's in line with that. Big opportunities in some of the geographies of Europe, Canada and the U.S as you can see in the margins are pulling that lever on a more consistent basis. As is the UK. Good news is we have more opportunities in more of our geographies to hit that number.
Paul Steep: Great, thank you.
Michael Roach: Thanks, Paul.
Operator: Thank you. The following question is from Richard Tse of Cormark Securities. Please go ahead.
Richard Tse: Yes, thank you. Mike, you've seen some outpost strength in the UK. Would you attribute that to market specific factors or something specific that you're doing in those markets?
Michael Roach: I think it's a combination of both. If you look at where the UK financial market was post financial crisis, they're really snapping back; big financial investment going into the UK, a lot of digital investment platforms. The UK digital has a higher adoption rate and you can see that in the Scottish situation as I've already called out, we've booked $500 million in two jurisdictions in Scotland. Organic growth in France, it's a combination of rising demand there and scale and scope. We've over 10,000 people there; the team is very focused on high end consulting there which the customers are in demand. We're getting good alignment there in the case of the customer economy and the recovering in the UK, our coverage in that market and our ability to serve these customers locally and globally in the UK. Same things happened in Germany, coming out of there we've got positive growth and Canada and the U.S. We're seeing a combination of market conditions and customer demand. As I mentioned in the analyst's call, this is not a short term situation here there's significant time, money, energy being pushed into government's transforming themselves into digital organizations. We're always very focused on where the customer is and where the customer is going. They've been very clear verbally and have aligned their business and IT investments right on this area. We like where we are and the market conditions. You still have the odd country feeling some economic pressure but for the most part things are picking up.
Richard Tse: I guess related to that we're seeing some big potential for transformative deals in financial institutions in North America but slower to adoption. What do you think the gain factors are to that investment in this market from a client perspective?
Michael Roach: If I look at globally and financial, there will be some companies formed in investment banking and that. This affords us an opportunity to help them start off as a digital company and strand some of their investment that would have been integrated in a more go to market strategy. There is a lot of drivers in the financial business, globally. The approach of Thinktech into that market, relations, cyber, customer demands, policy, all of that requires the assistance of IT. We're seeing our decision to located a unit in Toronto, we're looking at other companies now to ensure we have enough market coverage to capture the start of this wave and take it through to an end to end perspective. Again, to reiterate, we don't just want to be the front end, we want to do exactly what we've done with our core business over 40 years and be the long term partner to our customer and provide him with a single point of accountability for service, risk and cost.
Richard Tse: Okay. Just a quick one for François on the financials, you look at your property plant equipment and the contract cost, it seems to be up a little bit year-to-years. Can you give us a sense for the fiscal year 2016?
François Boulanger: I would need to look further on the business side but on the contract costs it went up especially in the UK with the contract that we won. Also on the property side of equipment, all of it is related to the UK and the new deal that we signed. We are doing the transition and the setup of these clients.
Richard Tse: Okay, thank you.
Michael Roach: Thanks, Richard.
Operator: Thank you. The following question is from Thanos Moschopoulos of BMO Capital Markets. Please go ahead.
Thanos Moschopoulos: Hi, good morning. Maybe a related question for Francois. The cash flow was a little bit later this quarter, year-over-year, any impact from the project start-ups or any quarterly volatility in that number?
François Boulanger: It's related to the cash flow like I was saying, up 41 when they did the deal it was a pretty good deal for the quarter. On the cash out flow, some are seasonal, for example prepaid. We have software maintenance fees to pay to our suppliers on an annual basis and that hits in the January or February time. Also payroll can swing from quarter-to-quarter. I'll give you an example. We had three payrolls in Canada in the month of March. That had an impact on the cash from up. Naturally we'll be picked up in reverse in a quarter, that's why we're looking at a 12 month basis.
Thanos Moschopoulos: Great. One for Mike, you talked about the growth that you're seeing on the U.S. federal and civilian side, can you elaborate on what you're seeing in that market and whether or not we should see any election related impacts this year, positive or negative?
Michael Roach: I'll probably take a pass on answering part of that question, which I don't often do. The election dynamics are interesting but I couldn't give any educated assessment on what it could do from a CGI perspective. The civilian side is very tied to politics on things like visas, a significant position on passports; these are driven by policy and activity in the world. We're seeing some increased volume there that follows through. We're actively promoting our IP in that space and we talked about advantage a lot on the state and local and side. We have a similar category of killer momentum in the federal government which is an ERP called federal government. There's more activity and add-ons to put that platform in and help customers consolidate multiple platforms. And again, create significant value for them and for us. You contrast that with the defense side and the same drivers are not there. There are more longer term type arrangements tied to larger procurements more strategic than tactical in comparison to the civilian side.
Thanos Moschopoulos: Sorry Mike. I was referring to pre-election impact than post-election impact. Anything you see on that front or no?
Michael Roach: I can't call what will happen there. I don't think there'll be any impact for this fiscal year. '17 we'll get a better look at how the policies of those who take office differ or align. Over all the years, we do a lot of business in government. They continue to need to invest in IT not only for their policy but they're also being hit hard by demographics. As you see in the number of deals we have announced, the demographics of their citizens is more aligned to doing business on a digital platform than face to face. In final analysis it also drives efficiency and cost reduction in there which I think will continue to be top reminders for governments, especially as rates start back up.
Thanos Moschopoulos: Great, thanks Mike. I'll pass the line.
Lorne Gorber: Thanks, Dennis.
Operator: Thank you. The following question is from James Schneider of Goldman Sachs. Please go ahead.
James Schneider: Good morning, thanks for taking my question. I was wondering if you could comment on your headcount and hiring plans over the course of the year. Give us some sense about what those plans are and what the pipeline of new talent is, where you expect headcount to be in the fiscal year in terms of an incremental step up from the beginning?
Michael Roach: Sorry, the last part James was exiting this year or?
James Schneider: Exiting fiscal year, yes.
Michael Roach: At a macro level as we grow organically we will see headcount climb. If you look at our headcount to revenue ratio we don't have the same one-to-one correlation as say an offshore player would. We're selling outputs here. By the very nature of that we're heavily incentive to do more for less. There would be a one-to-one correlation out there, especially if you look at our infrastructure business or outsourcing deals. On the SINC business, certainly where it's time and materials if you look at France and geographies like that you'll see a ramp up at headquarter in hiring. Our turnover rate is 10-12% a year. That alone generates significant hiring. Directionally, the back end of the year as we enter '17 you'll see gradual hiring here to meet and be positioned for the demand. In areas like agile, digital security, cyber, all these areas we keep a pretty good eye on that in terms of making sure our hiring is aligned with the customer demand. Not sure I can say a lot more about that. The talent pool, there's a lot of talent out there who are in companies that are focused on internal matters like splitting their company or restructuring at a significant level who are looking to join a company like ours that is very stable and consistent. Not for sale, one where they can come over and build a career. We continue to work on graduate hires and bringing in people who would have a growth path into consulting and business account manager, that type of thing. There's no shortage of talent out there.
James Schneider: That's helpful and a quick follow up on the mix of outsourcing and SNI consulting, that makes it kind of steadily move towards outsourcing for a while now. Could you comment on what is the mix of your total backlog on the mix between outsourcing and consulting and could you imagine a scenario where, as we get into 2017, where that mix of outsourcing looks to be 20%?
Michael Roach: A couple of points for context. First, the goal that we have is to increase our recurring revenue. This allows us to invest on a regular basis and capture the return on that investment cycle. In a ten-year deal we have investment opportunities. Year one, six and nine, we're going to get the return within those three year windows. That's one reason we want to do that. We can bring more benefits to the client and have some certainty in investing in our business. Our experience from the last significant downturn, because we have 60% recurring revenue we have a flow over here. Regardless of where the economy's going, we have 60% recurring revenue and we're not going to below that and we positioned us as a defensive stock. Certainly we're able to protect our investors in light of that headwind. What you're seeing is a bit of the shift. I can tell you we're not de-emphasizing our SINC business. What's happening is part of our strategy in part of our acquired assets in Logica and we've always been very upfront about that, is to convert some of those shorter term contracts into longer term contracts. You've seen that in the Nordics and France, the French team is making a lot of progress, frankly, on that score. The UK has always been that way but if you look at the Scottish borders it's 13 years. What you'll see is outsourcing. The IP's another good example in the backlog. The 10 year deal we announced, $100 million dollars. This is grown by our strategy, IP 30 transformational outsourcing, going longer on contracts in countries where this is not the norm. To answer your last question the mix in the backlog is heavily swayed to outsourcing many services, IP deals. I don't have it at my fingertips but it's probably 80% long term deals. I think the average change to that backlog is still 6-8 years.
James Schneider: That's great, thanks for your help Mike.
Michael Roach: The other thing I'll say about our backlog, the margins aren't all back-ended loaded.
James Schneider: Good to hear. Thank you.
Michael Roach: Good to know, James.
Operator: Thank you. The following question is from Ralph Gracias [ph] of Cantor Fitzgerald. Please go ahead.
Unidentified Analyst: Good morning John and thanks for taking my questions. Two quick ones here. One, on the small acquisitions you've done, the JSL deal on Investor Day you said you had $300 million in new deals in the pipeline. That's like 30x they're revenue run rate. Do you see a similar sort of accelerator on the France side with the LCM deal?
Michael Roach: It's a little early there. On the JSL deal, because they were focused on one client, we're able to get a better handle on that. Just for a point of clarification on that, the JSL acquisition has not only positioned us for growth on that account, we've now been able to take that offering on the agile, digital side and win other financial engagements and other corporations on the Canadian side that are headquartered around Toronto. That's an interesting one. We're getting leverage based on the relationships in the institutions that they're operating and we're also getting their agile and technology skills around development which as you know is red hot out there. That's a good example. We continue to book business against that backlog. There's still a lot to be done there in terms of turning that pipeline into backlog into profitable growth. If you look at the Canadian and Toronto operation on banking, we're growing there at very significant rates.
Unidentified Analyst: The $11 million run rate, there's your inorganic per say. And you've got a million plus in organic revenues to convert that pipeline.
Michael Roach: I should be increasing the guys' target there, probably, Ralph.
Unidentified Analyst: I'm just laughing. On the oil and gas side, can you leverage what you do in western Canada into the Shell merger with BG; they're going through their own headaches. They had two different IT providers in those entities. Can you wedge yourself in there and leverage what you've done in western Canada into Europe and grow the oil and gas vertical there or vice versa?
Michael Roach: It's actually a combination of both. In some cases we're putting IT in there. In one instance it's IT that we use in the financial vertical. We're able to embed in an oil and gas global player to help them protect their own current business. We also have IP that we're refreshing in the oil and gas business that would be applicable to the United States oil patch, also to Calgary and globally. As I mentioned earlier, we're helping clients who are re-balancing their costs based on the fluctuation in oil price. We're offering more access to our managed services and global delivery centres. They're really using as an opportunity to have a business discussion about the future. What capabilities should be retained in the future of their company from an IT perspective and which should be done by a partner like ours. It is a good time to have those focused discussions because these companies have a very good beat on their revenue line and cost structure. I called it out in Canada and the other side in the Netherlands but in both cases we're gaining shares. In one case it's having a short term impact on the revenue because more of its going offshore. On the long haul, and we always think that, we're gaining share. With a higher share we're well positioned to ride the curve up the other way.
Unidentified Analyst: Thank you.
Michael Roach: Thanks, Ralph.
Operator: Thank you. The following question is from Edward Cassel [ph] of Wells Fargo. Please go ahead.
Unidentified Analyst: Good morning it's actually Rick Estelson [ph] on for Ed. First question is just a go forward on the line tax rate. I apologize, my line cut out when Francois mentioned that, could you remind us what we should look for on the tax rate?
Michael Roach: 26% to 28%.
Unidentified Analyst: Okay, perfect. And then building on the talent question earlier, Mike you touched on this earlier in your response. Can you dig more deeply on your ability to find the digital talent in some of the hottest areas, the quarter, and then maybe some more on what you guys are doing internally on the retraining side? Thanks.
Michael Roach: That's an excellent question. I didn't address the re-skill side, thanks for raising that Rick. Clearly we have a re-skilling program, we have that up and running in a number of geographies, and again it's not limited only to digital. We're re-skilling on the cyber side as an example, where our people obviously have a very strong base of knowledge that can easily translate into adding more cyber competencies. In some governments as well will assist in the re-training. We do a lot of work into ensuring that the person has the base knowledge and desire to advance their knowledge and become more relevant and more available. That's on the training side. On the hiring side, again you're looking for skills that cover the end to end opportunity on the digital world. It starts with consulting. We add people and continue to add them. For Example, we've added a number of people from Mackenzie who have come over, also from some of the other consulting firms. They come on the front end, we're helping the customer with the digital strategy, high end consulting. We're also helping them put a path forward from where they are to where they want to go to. In there we do some SINC work. We would embed in some cases our IP because it's a key part of a company's digital strategy. There we can leverage some of what I mentioned earlier. We're removing work that we're doing internally on IP development offshore and in taking folks that know and built that IP and make them billable within that context of digital skills. I reiterate, there are programs and kids coming out of schools that are agile and have other skills that are very relevant here. Finally, as I mentioned, there are competitors who are focused on other things right now. To put it more positively, I'm only focused on our customers, full-time, I don't have to spend any time looking at major restructuring alignment or splitting of our company.
Unidentified Analyst: Great, thank you very much.
Lorne Gorber: Thanks. Melanie, we have time for one last question.
Operator: The following question is from Robert Peters of Credit Suisse. Please go ahead.
Robert Peters: Great, thank you very much for squeezing me in. Just two quick housekeeping questions for me. Firstly, when we think about much of the restructuring disbursements paid out from last year, does it now seem too soon that you recognized all the cost savings particularly in ECS or is there more to go there?
Michael Roach: There's always a bit of a tale there. Some of the restructuring could be beyond people, I'd have to look at ECS more directly, Robert. Our sense is that we would have a little more in ECS and a little more in the Nordics.
Robert Peters: Perfect, thank you. Then just a quick follow up. When we look at the buy back, obviously you've been very active in the quarter and the question came up on MNA, how do you guys think about balancing that for the remainder of the year?
Michael Roach: That's a good wrap-up question. Remember, the priorities for us is number one reinvest in our business. We're seeing more opportunities to do that. When you look at Manny's IP services to do that, you should expect more money going into the back end of the business. The debt situation is locked down. That's long term debt, we don't have any short term requirements to pay back so we're really left with share buyback or M&A. We have the capability of doing both, we have accessed over $2 billion in cash and line of credit. We believe our shares are an excellent long term investment. For me, if I can't find a company that is accretive to our company, better to invest the money buying our own company. It's had a hell of a return for our shareholders and that's kind of the trade-off we ultimately look at. Short answer is you should expect to see us invest more in our business, you'll see increase in capital expenditures, contract ramp ups with clients. We'll continue to look at both the buybacks and M&A. The enviable position we're in, we could do all three.
Robert Peters: Perfect, thank you very much.
Michael Roach: Thank you to all.
Lorne Gorber: Thanks for thinking everyone, look forward to seeing you back at the Q3 in July. Take care.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.